Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Scripps Third Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Head of Investor Relations, Carolyn Micheli. Please go ahead.
Carolyn Micheli: Thank you, Carolyn. Good morning, everyone, and thank you for joining us for a discussion of The E.W. Scripps Company's financial results. You can visit scripps.com for more information and a link to the replay of the call. A reminder that our conference call and webcast include forward-looking statement and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. The COVID-19 pandemic enhances the uncertainty of forward-looking statements we make about our operations and financial conditions. We do not intend to update any forward-looking statements we make today. We'll hear this morning from Scripps' President and CEO, Adam Symson; CFO, Lisa Knutson; and Local Media President, Brian Lawlor. Also on the call are National Media Executive Vice President, Laura Tomlin; and Controller and Treasurer, Doug Lyons. Here is Adam.
Adam Symson: Good morning, everybody, and thanks for joining us. Today, Scripps is delivering a third quarter financial performance that would have been nearly inconceivable 6 months ago, although our nation continues to battle significant business and economic disruption. We saw political ad revenue blow past our high expectations, retransmission revenue growth of nearly 40%, core advertising rebound and National Media revenue grow by double digits. Across our revenue lines, we did not just meet, but in most cases well exceeded expectations for third quarter, setting us up to end the year with record post spinoff company revenue. And of course all of this revenue growth translates to much higher profit and free cash flow generation. In fact, the dramatic turnaround in our results puts us on track to deliver 2020 free cash flow well beyond even our pre-pandemic expectations. It was more than a year ago, after announcing a series of acquisitions to double the size of our Local Media portfolio, that we said we expected full year free cash flow in 2020 of between $225 million and $250 million. We expected that mark to be a significant way point in the path we are traveling to make Scripps a more productive and more efficient company. We rescinded that guidance last spring in the shadow of the pandemic. So I'm very pleased to share that right now we expect to end the year having generated more than $280 million in free cash flow. That generates an impressive $3.42 of free cash flow per share, again, quite an accomplishment in this economic climate. While some of this performance is due to rebounds in the advertising marketplace, a lot of this growth is due to Scripps' foresight in planning over the past few years to become stronger and more durable. We have executed a strategy to improve the operating performance of our local media portfolio through 2 workstreams, first, by acquiring high-quality stations with signification intention to improve and expand our footprint. We set out to methodically acquire television stations in markets that helped us grow our political advertising revenue and capture our full retransmission revenue potential. We acquired 27 stations in 2019 and have realized their value in both political advertising and our retrans rate negotiations this year. And that second workstream powering us forward, our focus on execution, execution, execution; super-serving both our audiences and our advertisers. That's why we have met or exceeded expectations prior to the pandemic, and why we believe we are better positioned after it. Our National Media strategy to acquire and grow businesses at scale is clearly bearing fruit as well. Today, in spite of the economic recession, our National Media division is back to expanding its margins and in fact will hit a nearly 20% margin in fourth quarter, approaching its margin target even faster than we had told you it would. Against the headwinds of the pandemic economy, our performance in 2020 validates these investment strategies. To quantify that, I can tell you that our $280 million or so in expected free cash flow for this year will allow us to bring about 15% of every net revenue dollar to the free cash flow bottom line. On an as-reported basis, that compares to 9% in 2018, a comparable political year, and before we acquired the Cordillera and Tribune/Nexstar divestiture stations. Our acquisition of ION Media is another step in our systematic plan to improve the financial portfolio of the company and increase free cash flow. Acquiring ION creates a highly accretive transaction that also will boost Scripps' revenue to more than $2.5 billion annually, and more than double company EBITDA in our first full year of ownership. As we have said, we expect to realize over $500 million in synergies, mainly contractual, in the next 6 years. And I can now confirm that we expect free cash flow per share accretion of about 60% on a 2-year blended pro forma basis. As you can see, this deal has incredible industrial logic. Our performance is not by chance, but by design. The execution of our plan comes thanks to the hard work and dedication of Scripps' journalists, sales teams and all of our employees who, through very difficult circumstances, support our mission across the country. To all of these employees, I want to say thank you. To sum it up, record high-margin political dollars, great retrans growth and a solid core performance, outstanding National Media revenue growth and margin expansions; an acquisition that will give us free cash flow per share accretion of about 60% and cash flow that provides a clear path to paying down debt, all-in-all a very good way to move into 2021. When we said that our company would look to emerge from the chaos of 2020 a stronger business, we meant it. Now, here's Lisa to give more details on our results.
Lisa Knutson: Thank you, Adam, and good morning, everyone. Let's start by discussing third quarter Local Media performance. All comparisons of the division's financial results are on an adjusted combined basis. As of May 1, we have owned the Cordillera stations for a full year. And as of September 19, we have owned the former Nexstar/Tribune stations for a year. So the third quarter is our last quarter of adjusted combined treatment with them. You can find our as-reported results in today's press release. Third quarter political advertising revenue of $96.4 million came in higher than expected, helping us to reach a record $265 million in full year 2020 political ad revenue. That's an impressive 35% over our last record year, 2018. The 34 days of the fourth quarter election season brought in about $137 million or a bit more than half of that total. As early voting took hold this year, we saw growth in third quarter political ad dollars, but certainly not at the expense of fourth quarter. Brian will give more color in a moment on our political advertising performance. Local Media core advertising revenue was down 18%, driven by the pandemic-related advertising slowdown. That number is 15%, as we had indicated, excluding the results of WPIX, which lost Yankees and Mets baseball in the quarter. We have continued to see significant sequential improvement in core advertising, as we have moved throughout the year. And while we expect the fourth quarter to be down 15% from fourth quarter of 2019, we expect it to be up 10% from the third quarter of this year. Our growth in retransmission revenue came after the resolution of our 6-week blackout with the Dish Network in the third quarter. We were not paid for Dish subs during that time, but we did recognize a onetime catch-up payment from them for the 5 months during which we were receiving the old contractual rate. Because of that onetime Q3 payment, you'll see our retrans revenue decline just a bit in Q4. We expect to end the year at $581 million of retrans revenue. In our latest reporting period, Q2, we saw no real change in the rate of subscriber churn from the prior quarter. Local Media expenses decreased by 1% over the year ago quarter when you exclude the fixed programming expense. The division had imposed various cost savings initiatives that included merit pay freezes, reductions in capital expenditures, travel and marketing. Local Media segment profit was $145 million, which was the strongest third quarter profit number ever for the division. Now let's discuss National Media results. Since Stitcher was reported as discontinued operations, the division results no longer include Stitcher for any period. The Stitcher sale closed on October 16. National Media division revenue came back exceedingly well in the third quarter at $89 million, up 14% year-over-year. All 3 national businesses, Katz, Newsy and Triton contributed to this growth. At Katz, we saw strong spending in direct response and in the scatter market. The Grit Network and Court TV were big contributors to the 8% revenue growth that we saw at Katz. Newsy revenue grew 30%, driven by ongoing strong demand for ad inventory on connected TV and OTT. And Newsy took in $1.9 million of political in the third quarter and more than $4 million through Election Day, as political campaigns have followed consumers to streaming platforms. Triton revenue grew 14% in the quarter. The growth was due to the growing digital audiences, which are reflecting the same trends we see in television viewing as well as a shift toward automated ad buying in the digital audio marketplace. We had expected modest National Media revenue growth in the third quarter, and the division exceeded our expectations. Looking to the fourth quarter, we expect low double-digit revenue growth on higher comps for Q4 of 2019. National Media expenses came in at $77 million, up about 13% from a year ago, and National Media segment profit was $12 million as the segment returns to margin expansion mode. Looking ahead, we expect to see that margin expansion to continue and to end the fourth quarter approaching 20% margin. We've been telling you for a while that we expect National Media margins to reach 20%, and we are very pleased to have made so much progress during an economic recession. This performance is an affirmation that our National Media strategy is creating value. And this execution and the National Media marketplace recovery also bodes well for our plans as we integrate ION Media next year. Our shared services and corporate expenses were $12 million in the third quarter. We do expect that to be closer to $16 million in Q4. That's due to the need to reflect higher bonus accruals as a result of free cash flow coming in at more than $280 million. We are also on track with the previously announced $75 million in expense control and cash management measures. About $54 million of the savings have been realized year-to-date, and the other $21 million will come by year-end. We made about $4 million in dividend payments in the third quarter. The company's Q3 income from continuing operations was $0.76 per share. Pretax cost for the quarter included $11 million of acquisitions and related integration costs that decreased income by $0.10 per share. Our current forecast for full year 2020 cash interest is about $82 million, a little better than we said on our August call, mostly because of the decline in LIBOR. Our full year capital expenditures are estimated to come in at $32 million. On September 30, our total debt was $1.9 billion and cash totaled $129 million. We now have about $200 million available on our revolving credit facility. Our net leverage at the end of the third quarter was 5.3x per the calculation in our credit agreement. That's down from 5.8x at the end of second quarter. We expect to end this year at 4.2x. The lower leverage reflects proceeds from the sale of Stitcher and political advertising revenue. For the full year, we expect our company free cash flow to exceed $280 million. We are very pleased to be delivering well above the range we set back in 2019 of $225 million to $250 million. Finally, we are well on our way in the process of acquiring ION. We have made our SEC filing and have already received Hart-Scott-Rodino clearance. We also have begun communications with ION leadership and employees, and they are enthusiastic about joining the company with such a well-respected media brand. We still expect the transaction to close in the first quarter of next year. The significantly higher free cash flow we will generate when combined with ION, will allow us to move swiftly toward paying down debt. As we have told you, our top capital allocation priority is to work toward having a flexible balance sheet. And now, here's Brian.
Brian Lawlor: Thanks, Lisa. Good morning, everybody. This week, we completed an unprecedented presidential election season. At the beginning of this year, we told you we expected our political ad revenue to come in at less than $200 million. Today, we are over-delivering on that by about $65 million. This year, the competitiveness of our races aligned well for the Scripps footprint and our political sales and traffic operations teams maximized the opportunity for an incredible political advertising year. Here are a few of the things that went our way in the election landscape. Number one, Joe Biden secured the Democratic nomination in May. The 2 presidential candidates were decided a full 2 months earlier than 2016, kicking off the general election spending that much sooner. Biden's candidacy also broadened the swing state map. Number two, the pandemic significantly reduced the ground gate for candidates, forcing them to spend more on television to reach local voters. Number three, Scripps' footprint for senate races became even more competitive than we originally anticipated. In states like Arizona, Colorado, Michigan, Kansas, Iowa and especially Montana, where one of the Senate candidates didn't even come into the race until April. And number four, the nation saw unparalleled political action committee spending, which at Scripps accounted for a full half of our political dollars. In addition to these external factors, Scripps was well-positioned to capture more than its fair share of dollars. Over a decade ago, we broke from the industry and created our own political sales office, which remains a unique competitive advantage. We have built a reputation as experts on placing political ad buys, also on our station acquisition strategy that included finding markets with strong political opportunity. Nowhere is that better demonstrated than in Montana, where our highly ranked stations captured the vast majority of the many dollars spent on competitive Senate and governor races there. The amount of political advertising revenue a station group receives is all about how its station footprint aligns with the most contested races that year. This year, we had many hotly contested races, and our political sales strategies helped us make the most of them. At the same time, the pool of political dollars nationwide is growing tremendously and local broadcast is taking an even larger share. In 2016, $3 billion of political dollars was raised and spent. In 2018, it was $5 billion. This year, it was more than $8 billion. In 2016, estimates were that local broadcast television took 45% of that total. This year, it looks like we took more than 50% of the larger spend. That's completely to the contrary of the pundits' views that 2016 had reshaped political spending away from local broadcast. And we have some good news for you. Scripps is well-positioned to have another fantastic footprint and political for the 2022 election cycle. Turning to core advertising revenue, we were pleased to fully meet our third quarter expectations. We did see significant displacement in some markets, but very little in others. Because the pandemic economy had driven down advertising, we had more inventory and the new inventory on our over-the-top programs also helped us mitigate displacement. Two significant contributors to meeting our expectations on core were our ongoing efforts to developing new businesses as television advertisers and demand for our over-the-top products. And we're seeing strong growth with our OTT products as local advertisers look for ways to reach streaming audiences in their markets. I'd like to end by acknowledging the work of our local journalists. Their work makes our strong sales performance possible. During the third quarter, Scripps stations received a number of prestigious journalism awards. KNXV, our ABC Station in Phoenix, was once again the winner of a national Emmy award for its outstanding investigative work. KNXV also was one of 6 stations in Scripps to earn a national Edward R. Murrow award. KMGH, our ABC Station in Denver, won overall excellence in the large market category and WTVR Richmond won that same award in the small market category and 4 other stations were recognized for specific projects. These awards are a testament to Scripps' commitment to journalism in its communities and to the quality of our people. It has been a contentious and sometimes scary year for our reporters and photographers in the field. They have covered social justice protests, civil unrest, and election events at which anger occasionally turned toward them. Our news teams have worked hard to provide objective reports and help voters stay informed. We've expanded news programming, dedicated shows to political coverage and fact-checked political ads. Despite the challenges, we remain focused on informing our audiences. And now operator, we are ready for questions.
Operator: [Operator Instructions] Our first question comes from Kyle Evans from Stephens.
Kyle Evans: Congrats on the political numbers. Those are spectacular. What kind of visibility do you have into ION's third quarter results and their fourth quarter outlook today?
Lisa Knutson: Kyle, it's Lisa. We have a little bit of visibility, and we are seeing the same trends that were seen in our National division in terms of strong demand in third and fourth quarter.
Kyle Evans : By strong, could I take the Katz number and use that as a proxy for ION?
Lisa Knutson: I didn't necessarily say that.
Kyle Evans : And you won't.
Lisa Knutson: Yes, exactly. We did, as I said, strong DR. The national marketplace's robustness and durability is definitely flowing through to ION.
Kyle Evans : Great. Brian, maybe some inter-quarter granularity on core across the quarter, what you saw in October and how November is pacing.
Brian Lawlor: Yes. Obviously, massive displacement in October $137 million in 5 weeks is a heck of a lot of money. So kind of throw October out the window. We had some markets where displacement was as high as 50%. So peeling that back, you start looking at November. I can tell you auto is having its best month since February. Service, which is our number one category, represents more than 30% of our total, is up mid-single digits in November versus prior year. Home improvement, a little bit smaller but another growing category, is also up mid-single. So I think the categories that we can control, especially with our new business, are strong. I think as we see it, it's still early. There's a lot of points to be written in fourth quarter. But our expectation is that core will end Q4 down probably somewhere in the mid-teens.
Kyle Evans : Could you bracket November or is that a little too brave right now?
Brian Lawlor: Yes, I think it's brave. We're only, what, 3 days from the election. We displaced a lot over the last 5 weeks in order to maximize that. So we're working hard to get business back. As I foreshadow that, we've got a couple of categories that are really strong. Obviously, November is rolling up to a better number than we've seen in the last couple of months. I'll just -- I'll take that into Q3 core. Like others have reported, we saw improvement through the quarter, from the beginning of the quarter to the end. We saw July start about down 19. September finished minus 14. But when you consider that we did $52 million in political in September, for it to have actually continued that growth, I think it really speaks to the health that we're seeing in core, as we continue to build from April.
Monty Schriver: Great. While I have you, could we tick through the retrans renewal cycles for sub and networks, and then maybe some high level commentary on your long-term outlook for net retrans growth?
Brian Lawlor: Yes, let me take the networks. It's a little more complicated with retrans subs, because we're waiting to see if PIX closes. And so I'd probably rather wait until February, because with that intertwined, it gets a little bit messy. But relative to our networks, we have two ABC stations, small ones, Tallahassee and Lafayette, that's up at the end of this year. But beyond that, our NBCs are up at the end of '21. And then our CBS, Fox and ABC are all up in the middle or the end of '22.
Adam Symson: Kyle, it's Adam. I can give you just maybe a little bit of commentary on your question around net retrans growth. This year we completed 42% of our pay-TV households. That's after Comcast renewed on December 31. And that is driving us to more than 30% gross retrans revenue growth over 2019 on a same-station basis. So of course that growth is certainly driving net retrans margin expansion. And I guess I would sort of point out that the successful renewal of these contracts and that revenue growth and margin expansion is really an affirmation or validation of our acquisition thesis last year, when we picked up 27 television stations to expand our footprint, making us a stronger company. And I expect we'll be able to share more on timing of things next year.
Monty Schriver: I hate to belabor the point, but one of your peers mentioned kind of down net retrans next year, and it caused a lot of investor concern. Can you say whether or not you think net retrans will grow in '21?
Adam Symson: I think as a result of some timing things, we'd rather actually hold off until we're able to share with you some of the timing related, as Brian responded on PIX. And then we'll be able to share some of that information. Although I will tell you, given the timing of our network contracts, I don't know that whatever they shared is an industry-wide phenomenon.
Monty Schriver: Fair enough. I've got questions for Laura, but I'll get back in queue. And Brian, if everybody else is like me and you started to mention political '22, I cringe. I'm not ready for -- I'm not ready to talk about anymore political right now.
Brian Lawlor: I'm ready for it, Kyle.
Monty Schriver: I know you are.
Brian Lawlor: We got a great footprint, so I'm excited to get there.
Monty Schriver: You do. You do. Congrats.
Operator: Our next question comes from Michael Kupinski from NOBLE Capital Markets.
Michael Kupinski: Congratulations on your quarter. I just have a couple of quick questions. Brian, I don't know that you in your commentary, did you talk a little bit about December and what the core looks like, given the fact that we don't have the noise of the political in that month? I was wondering if you could just give us some thoughts about how that's shaping up.
Brian Lawlor: Hey Mike, did you ask about December?
Michael Kupinski: December, yes.
Brian Lawlor: Yes. Well, you heard my comments about November. It's just really early on December. Typically from this point through the end of the month we'll add a lot of dollars and a lot of points. Look, December is pacing much better than third quarter. Right now it's a little bit behind November, but that's not atypical. I think especially in this year, people are booking week-to-week and month-to-month. So I'm expecting that the sequential growth that we've been talking about all year continues through the quarter. But quite frankly at this point, it's still early. There's a lot of business to write.
Michael Kupinski: Got you. And then how much was the one-time Dish payment in the quarter, and is that in the retrans number?
Lisa Knutson: Yes, so Mike, it's Lisa. We really can't say what that one-time payment is. It's obviously related to rates, so we'll have to remain silent on it.
Michael Kupinski: Okay, but that's reflected in the third quarter retrans number, right?
Lisa Knutson: Correct.
Michael Kupinski: Okay, and then just looking at Newsy, I mean obviously it's great that they had political. Was that the first time that Newsy really started to see political revenue? And I was surprised to see how strong that was.
Laura Tomlin: Hey, Mike, it's Laura. We've really kind of blown away our expectations on political revenue as it relates to Newsy this year. We saw very little previously. I think Lisa mentioned we're year-to-date about $4 million. But if you think about where consumers are spending their time, the growth in connected TV viewing has just been exploding, and we've been there for a long time. And I think what happened this year is political campaigns really saw the opportunity to get their messaging in front of some of these targeted voters. And with targeting capability, I think that's going to bring more and more dollars into this space. And we're positioned well, especially as we move forward.
Michael Kupinski: Great, and are you looking at expanding more distribution for Newsy at this point? What is that looking like?
Laura Tomlin: Distribution both on cable and OTT, we continue to expand on over-the-top. We're sort of near $40 million pay-TV subscribers. That's been stable this year. So I think as we move forward, we'll continue to look at expanding in the marketplaces where we're seeing a lot of growth, and right now that's OTT.
Michael Kupinski: And in terms of political, you didn't really see anything in your national businesses, right, I mean in terms of Katz--?
Laura Tomlin: No. Very minimal at the Katz Networks. Really political revenue for the division came mostly from Newsy.
Operator: Our next question comes from the line of John Janedis from Wolfe Research.
John Janedis: Good morning, one for Adam and one for Brian. Adam, can you talk a little more about National Media? Where is Katz in its growth cycle? You're run rating about $250 million in revenue, and I was wondering if that's still a multiyear opportunity, given how much it's grown since the acquisition, and I guess I'd ask the same about Newsy. And then Brian the market share gain commentary was helpful, given the narrative in the market. So can you give some more detail on where you are taking share from? Thanks.
Adam Symson: Yes, I mean I absolutely think it's still early days in the growth cycle at the national networks Katz, and then when we combine it with ION, certainly. And a lot of that has to do with marketplace growth and sales execution. When we acquired the Katz networks, I think nobody sort of understood that these networks were poised to begin to take real ratings points out of the audience marketplace and share. And then of course following that, real share out of the national advertising marketplace. And that's exactly what we're seeing now, especially as consumers spend more of their time in SVOD environments. Brand managers, marketers, planners recognize that for them with their brands to reach large mass audiences, they will need to actually reach them through linear broadcast over-the-air television. And this company will be poised to own 7 networks at the end of the acquisition with respect to audience share. So we're very bullish on the opportunity.
Brian Lawlor: And John, I'll take your second one. When I was talking about local broadcast capturing share, I was referring to the political. So I assume that's where your question is at. And I think there are a couple of things this year. I think the fact that there was a limited ground game for the candidates meant that they used more money on advertising than they would have maybe on signs and campaign headquarters in cities, and things like that. But then I think from radio and billboard also, I think the pandemic has had an effect on people's lifestyles, people -- the 2 biggest dayparts in radio are morning drive and afternoon drive, yet there's a whole lot of people who are working from home and are missed by that opportunity. Same thing for billboard, there's less people out commuting on highways. And so I think dollars that would have been allocated there were able to come to local. The other thing is, and I think it's just important in my comments that it started earlier for us. And so we were able to move dollars earlier in the cycle and so typically the last 5 or 6 weeks there's only so much you can take. But the earlier you can bring dollars, that's where we have more inventory and more opportunity, and I think with the early voting this year and the fact that we knew who some of the candidates were earlier, allowed us to pull dollars forward in the cycle.
John Janedis: Brian, maybe one last related question, you spoke to PAC being about half of the total money. What would that have been in '16 or '18, just as a reminder?
Brian Lawlor: Probably around the same share, about 45% to 50% of the numbers, just obviously on a smaller base.
Operator: Our next question comes from the line of Craig Huber from Huber Research Partners.
Craig Huber: Just some housekeeping questions here. Was the retrans subs, Brian, on a pro forma basis down, say, 5% or so year-over-year?
Brian Lawlor: Craig, the rate of our Q2 subs, and again that's our catch-up, was basically unchanged from Q1, so in about the mid-2%, and really right on track with our seasonal estimates for Q2.
Craig Huber: I thought 3 months ago on your guys' conference call, you were talking about down about 6% year-over-year net [indiscernible].
Brian Lawlor: Yes, that would have been -- I just shared with you kind of a quarter view, Craig. On a year-over-year basis, I think we're in line with our peers, a little bit less than 7% over the 12-month rolling.
Craig Huber: A little bit better than 7% you said?
Brian Lawlor: Yes, less than 7%.
Craig Huber: Okay, so 6% to 7% I'll call it. Okay, appreciate that. . Brian, your TV stations on a pro forma basis, the ad revenue, should I assume that the local piece of ad revenue pro forma was materially worse than national? How would you sort of bracket that in the quarter we just finished?
Brian Lawlor: No. I don't think you should make that assumption. Actually, local performed slightly better than national on a pro forma basis.
Craig Huber: Okay, that's good to hear. And then on this goal--
Brian Lawlor: And again, I think we've spoken on prior conference calls. But our commitment to new business and I talked about this in the prepared remarks too. Our commitment to new business and I think we're really a leader in the OTT space right now, is bringing new dollars and creating new revenue streams in the local space. And I think that's one of the reasons why our local performance is outpacing our national performance.
Craig Huber: And then on the National Media side, the 20% margin goal, should I assume that you're thinking that's like 3 years out? How far out are you thinking?
Laura Tomlin: Okay, Craig, we think we'll approach 20% for this year. So I think you're not -- we're not thinking 3 years out. I think if things go well for the quarter as they've been going, I think you could see it approaching 20% by year-end, fourth quarter by this year.
Craig Huber: For the margin you're talking, just so I'm clear?
Laura Tomlin: Yes. Margin.
Craig Huber: And then as you think out beyond that, obviously I assume you think there's meaningful margin upside beyond that. Put aside the ION acquisition stuff. Which of the 3 legacy properties that you have in there right now do think will be driving margins longer term?
Laura Tomlin: Yes, I mean I think all are contributing. Certainly Triton has high margins. When we bought Triton, we were attracted to their high margins. Katz has continuous margin expansion, especially as Court TV just launched last year. It seem like forever ago, but it was really just last year. And so we're continuing to see, and we've got some really great high profile court cases coming up. And then finally you saw the impressive growth that Newsy had in the third quarter, 30% growth in the year of a pandemic and a -- global pandemic and a recession. So I think you're going to continue to see us hitting on all cylinders, but certainly those are main drivers of margin expansion.
Craig Huber: And then my final question on the financial side of things, what sort of a long-term net-debt-to-EBITDA target ratio are you guys looking to get down to, long term?
Lisa Knutson: Yes, Craig. Yes, long term, it would be in the mid 3s. I think we have been consistently saying that we're committed to having a strong, flexible balance sheet, and we would see somewhere in the mid 3s as a good place to be.
Operator: [Operator Instructions] We do have the line of Dan Kurnos from Benchmark Company.
Daniel Kurnos: Yes, it's okay. I think I was Kronos, and we still had Janedis today as well. So we're on a roll so far.
Lisa Knutson: We know who you are.
Daniel Kurnos: I don't know if that's a good or a bad thing. So just one quick question going back to either Brian or Adam just on the retrans. Just I know Kyle asked a bunch of questions around this. I just want to get a sense in just in terms of sub expectations on a go-forward. We've heard some more positive commentary I think just around the potential for maybe Charter to post another quarter of positive subs in Q4. So just any view you have on that? And then, Adam, I want to ask you and maybe Laura, a pretty high-level connected TV question that I think is important.
Adam Symson: Yes. I mean on the sub accounts, I would just look to what the MVPDs and the operators are reporting now. Remember that we report a month or a quarter in arrears. And so we've been pretty pleased with their -- the stability that they're showing. I mean, I think it's certainly an expression of stability in the sub marketplace. It appears like it's returning to about what it was pre-pandemic, which I think is good to see.
Daniel Kurnos: Okay. That's helpful. And then really good color on margin guidance, obviously, way ahead of expectations on National. As much as I'd love to talk about the fact that kind of the legacy core broadcast business is -- just continues to defile the gloom and expectations, there is an inordinate amount of focus on connected TV. And I think you guys are uniquely positioned to kind of answer this question. I think Laura started to touch on this a little bit, and we've been having some conversations around this. The concept of more targeted marketing, the ability to effectively do dynamic ad insertion split within a DMA, kind of the ads. And that's obviously a lot easier to do on connected TV. So with that backdrop, to the extent that you can share how much of the business now is from connected TV? How much is that growing? And how much are you guys seeing in terms of at least sort of an economic delta between maybe a legacy sub and what we would consider a connected TV, so whether that's Hulu, YouTube or any of the other methods, I think, would be really helpful to outline the growth trajectory going forward.
Laura Tomlin: I'll take the first part, and then I'll turn to Adam. But when you think about just the growth in connected TV viewers across all of our platforms, that includes local. Connected TV is about scale, and we are well positioned to grow our scale across the enterprise. Really all of Newsy's significant growth and rate growth is coming from that space. We're seeing more of that in local. And I think as we move forward from an enterprise perspective, we'll be able to capitalize on the fact that we've been in these marketplaces for a while. We understand them. We know how the technology works. And so I expect that we'll see a lot of upside moving forward. But Adam, do you want to talk a little bit about sort of legacy subs and connected TV subs?
Adam Symson: Yes. I mean, I guess I would also just add, there's incredible opportunity with connected TV as we move forward, frankly, even in the linear space, whether you think about the transition the industry and our company is making with ATSC 3.0 and the move towards the earliest stages of advanced advertising, which is the dynamic ad insertion that you referenced. We're very bullish on the opportunity ahead. It's still early, but work we're doing with things like ProjeQtOr are beginning to validate the thesis that there will be a time when we will be able to use the ad tech stack that we've developed to improve yield, both in our Local and National Media portfolios through both connected TV and OTT as well as through ATSC 3.0 enabled linear television. Now that's a little farther off, but I think that's where the business is going in the future. And I think it will portend a significant economic opportunity to maintain and improve yields and CPMs a little bit further down the road. Does that make sense?
Daniel Kurnos: Yes. I mean that's kind of what I'm getting at, Adam, and I don't want to belabor the point here on something that I know is still relatively small. But if everyone is making the assumption, and I was referring to linear as well that we're moving towards kind of a streaming ecosystem, right? And everybody starts moving towards the MVPDs over the next 10 years. We all know ATSC is still a ways out, but you guys, given your portfolio in the tech stack, I think, have an interesting opportunity, whether it's partnerships with Hulu, YouTube and working through Trade Desk or other third party. I know you've got your own tech stack. But to kind of migrate or carve out inventory on connected to already improve yield and sort of position yourself well for kind of the future growth, but I don't think people are baking into their numbers. And I was just curious of how you're thinking about that understanding that it's really early days.
Adam Symson: Yes. I mean, that's exactly how we're thinking about it, actually. While we focus a lot on Newsy's journalist mission, it should be said that Newsy is regarded in the OTT space as a leader in dynamic ad insertion and technology that that's really what, I think, helped bring about the political revenue that you saw, it's about the ability to target down to demographics, psychographics and certainly, geographies. We always said that all politics and political ad spending is local. And so how do you develop $4 million, $5 million of political in one quarter for a national brand? You do so through dynamic ad insertion. And we expect that we'll be able to take the technology that we've developed and that has proven to power Newsy's tremendous growth in the OTT space and bring it to linear television, for sure. I mean, that's the way the business is going, and I think that will differentiate us. So when you sort of think about some of the opportunity with Scripps around both local and national, a little further out, we expect our national television networks business to be able to yield benefits as a result of laying this technology on ad sales. And we certainly expect it to come to the local side.  Our Local Media division hasn't made a huge deal out of OTT publicly, but we have really advanced the ball on generating new audiences and new impressions, monetizing those impressions in the Local Media space. And when Brian talks about OTT providing opportunity both for our advertisers during political to go to and for our political dollars, that's exactly what he's talking about. Every single one of our brands has strong audiences in the OTT space right now. We also have a multitude of advertising solutions that we bring to the marketplace. Newsy is an example of that. Every one of our local salespeople has the ability to sell not only the local inventory, but also Newsy inventory along with partner inventory to create what we believe to be a significant opportunity. At the end of the day, our advertisers know television is television. And what they want is to make sure their ads are reaching the right audiences. And we're now able to deliver those ads to the right audiences through over-the-air linear television, through our partnerships with virtual MVPDs and some dynamic ad insertion we do there, through connected television and through our own OTT apps. And that's the direction this business is moving in.
Daniel Kurnos: Okay. That's super helpful, Adam. I think it just really helps frame maybe a much better core story than people are thinking on a go-forward. Appreciate all the color there.
Operator: Our next question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: Adam and Lisa, I was hoping I could pin you down a little bit on the pro forma free cash flow accretion of 60%. So you're doing around $280 million this year. I think a lot of us had doing around 100 for next year. So call it, a 140 blend. Is that a good basis for us to use to think about that 60% accretion, which would get to maybe something like $225 million on a pro forma basis, and that's a pretty attractive free cash flow yield?
Lisa Knutson: Steven, thanks for the question. Yes. So the $280 million this year, obviously, I think did you say somewhere near 100 next year? Did I hear you correctly?
Steven Cahall: Yes, that kind of where consensus is, yes, around 100.
Lisa Knutson: Yes. I would say that's in the ballpark.
Steven Cahall: Okay. Yes, great. And then I was also wondering if we could just get an update on how Katz and ION viewership is performing lately. I think there's a lot of focus on ad revenue, but most of us think that revenue maybe isn't the best judge of viewership and that the market is going to recover here. So as we think about just the viewership trends on those 2 networks and the ability to put those 2 networks together from an ad sales perspective, how should we think about the combined viewership trends there?
Brian Lawlor: Steven, it's Brian. I can just speak to the Katz networks a little bit. Obviously, Court TV had some challenges in the third quarter in that there were no live trials, but we did develop a new live prime time show each night, and that viewership was up 120% year-to-year. So we saw now that it's further deployed, we saw a lot of engagement there. Just Bounce was up 5% in households compared to Q3 of '19. We had a bunch of original programming, a John Lewis Special, the documentary with Michael Jackson that was multiple parts, some original movies there. Grit was up 6% in prime time, 5% in households over prior year, a big shift in Laff when we launched How I Met your Mother; which premiered Labor Day weekend, big audience growth there. But we saw the median age drop 6 years to 49 years old. So you're seeing continued growth on each of our networks. And Adam, maybe I'll turn it over to you for a comment on ION. You're on mute.
Adam Symson: You would think we would know by now. We expect ION's audience to really perform in the same way we've seen in the national marketplace. ION continues to be a leader, as we have said before. It's the fifth ranked television network by audience. I think that surprised a lot of people. And it delivers with incredible consistency ratings that come from its programming strategy and the really popular crime and justice genre. On a go-forward basis, I would tell you, with respect to the comments about how these things will perform coming together, we've described $500 million in synergies. Those synergies are contractual synergies, mostly in the expense side having to do with distribution. I do believe there will be upside when we bring these businesses together and begin to bundle ad sales. So the Katz networks have long moved into the national advertising market as a bundled approach. But one of the things that ION hasn't been able to do because it's essentially a single network, has been able to take advantage of participation in bundling. You can see what happens in the cable and the national broadcast network marketplace when they go to the marketplace with solutions that allow them to take greater share all in all.  And I expect us to be able to benefit that from that. The other thing I would say is we placed a huge emphasis at the Katz networks on managing yield and pricing, relative to both our use of direct response and the careful use of both the upfront and the scatter markets in order to maximize advertising yield and maximize CPMs. And so when we think about bringing some of that to ION, that's an incredible business that's done very, very well. But we expect there's still opportunity and growth ahead when we bring these businesses together in the national advertising marketplace for sure.
Brian Lawlor: Steven, since you asked about audience, I just wanted to mention that something pretty material yesterday for Court TV, the judge in the George Floyd case in Minneapolis wrote the order allowing cameras in the courtroom for that trial. So that will be a big event, obviously, for Court TV.
Operator: And at this time, there are no further questions in queue.
Carolyn Micheli: Thank you, Carolyn, and thanks to everyone for joining us today. Have a good day.
Operator: And ladies and gentlemen, this conference will be available for replay after 11:30 a.m. today through November 20 at midnight. You may access the AT&T Executive replay system at any time by dialing 1 (866) 207-1041 and entering the access code of 2676890. International participants may dial (402) 970-0847. Those numbers are again 1 (866) 207-1041 and (402) 970-0847 with access code 2676890. That does conclude our conference for today. Thank you for your participation and for using AT&T conferencing services. You may now disconnect.